Operator: Hello, everyone. Thank you for joining us, and welcome to the nLIGHT Inc. Fourth Quarter and Year-End 2025 Earnings Call. [Operator Instructions] I will now hand the call over to John Marchetti, Vice President of Corporate Development and Head of Investor Relations. Please go ahead.
John Marchetti: Good afternoon, everyone. Thank you for joining us today to discuss nLIGHT's Fourth Quarter and Full Year 2025 Financial Results. I'm John Marchetti, nLIGHT's VP of Corporate Development and the Head of Investor Relations. With me on the call today are Scott Keeney, nLIGHT's Chairman and CEO; and Joe Corso, nLIGHT's CFO. Today's discussion will contain forward-looking statements, including financial projections and plans for our business, some of which are beyond our control, including the risks and uncertainties described from time to time in our SEC filings. Our results may differ materially from those projected on today's call, and we undertake no obligation to update publicly any forward-looking statement, except as required by law. During the call, we will be discussing certain non-GAAP financial measures. We have provided reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures in our earnings release and in our earnings presentation, both of which can be found on the Investor Relations section of our website. I will now turn the call over to nLIGHT's Chairman and CEO, Scott Keeney.
Scott Keeney: Thank you, John. 2025 was an exceptional year for nLIGHT with strong growth driven by continued outperformance in our A&D markets, which had a record fourth quarter. Our accelerated revenue growth also drove significant year-over-year improvements in our gross margins, adjusted EBITDA and cash flow, demonstrating the leverage that is inherent in our model. Revenues for the full year of 2025 were $261 million, up 32% year-over-year. Record A&D revenue of $175 million grew 60% year-over-year as we successfully executed against a number of existing programs, ramped the production of our new fiber amplifiers and secured new contract awards that provide us with visibility into continued growth in A&D. Importantly, we believe a number of new prototypes will be awarded in directed energy over the coming months across different power levels and configurations that will position us for meaningful growth in our A&D markets over the next several years. In aerospace and defense, we are focused on 2 key markets: directed energy and laser sensing, and both markets experienced accelerated growth in 2025. In directed energy, we are uniquely positioned with our vertically integrated and industry-leading high-power laser technology developed over the past 2 decades and spanning the entire technology stack from chips to components to high-energy beam combined lasers to full laser weapon modules that include beam directors and atmospheric correction. We have generated revenue at nearly every level of vertical integration in the directed energy market, and we have established ourselves as one of the most comprehensive suppliers of the U.S. government, other prime contractors and foreign allies. During 2025, we had several key successes in the directed energy market. Throughout the year, we continue to make solid progress on our HELSI-2 program. As a reminder, this is a $171 million program to develop a 1-megawatt high-energy laser with an expected completion date in late 2026. The shipment of critical components towards the HELSI-2 program was a significant driver of our record defense product revenue in the year and is expected to be a substantial contributor in 2026. In the fourth quarter, we substantially completed our work for the Army's DE M-SHORAD defense program, which was to deliver a 50-kilowatt CBC high-energy laser and beam director for integration into a Stryker vehicle. We are pleased to report that we successfully delivered our laser weapon module to our partner for integration and test. The successful delivery of this laser weapons module was an important milestone for our company, and we believe there is significant interest from the Department of War and the U.S. military in developing these meeting power solutions in the coming years. Interest in U.S. directed energy programs is increasing, particularly for counter-UAS applications, and we expect new contracts to be awarded in the coming quarters from different agencies and as part of the President's Golden Dome Executive order, which specifically highlights non-kinetic missile defense capabilities as an area for development. With a mandate to build these systems in the United States, we believe we are well positioned to benefit from these efforts over the coming years. And we are hopeful that in the coming quarters, we will be able to provide additional details on the scope and timing of these initiatives. We also continue to have success in the international markets for directed energy. We began shipping to several new international customers during 2025, and we have a growing pipeline of new global opportunities as allies look to accelerate direct energy programs for cost-effective counter-UAS and other threats. Our laser sensing markets also performed well in 2025. Our laser sensing products include missile guidance, proximity detection, range finding and countermeasures, and have been incorporated into several significant and long-running defense programs, which we believe will continue to grow well into the future. During the third quarter of 2025, we signed a new $50 million contract for an existing long-running missile program that incorporates one of our laser sensing products. nLIGHT has been a long-term supplier into this program with missile guidance, proximity detection, range finding and countermeasures and have been incorporated to several significant and long-running defense programs, which we believe will continue to grow well into the future. During the third quarter of 2025, we signed a new $50 million contract for an existing long-running missile program that incorporates one of our laser sensing products. nLIGHT has been a long-term supplier into this program, which our customer expects to remain a key priority associated with the nation's munitions restocking efforts. And in the fourth quarter, we began the initial stages of low-rate initial production on a new classified sensing program. Our historical performance on these programs and early success on multiple classified programs has increased both the number of prospects and the size of our sensing pipeline. In addition, further opportunities under the Golden Dome initiative have emerged and could also become significant contributors to our growth in the future. The growing pipeline opportunities in both our directed energy and laser sensing markets was a primary driver behind our decision to raise additional capital through a follow-on equity offering earlier this month. We raised over $190 million after expenses, which combined with our existing cash, leaves us more than $0.25 billion on our balance sheet. We intend to use a portion of these proceeds to build out and equip our new 50,000 square foot manufacturing facility in Longmont, Colorado and to invest ahead of our demand in our supply chain and staffing to begin work on accelerating new product development. Our commercial markets performed in line with our expectations in 2025, with increases in microfabrication and advanced manufacturing revenue, offset by continued declines in our cutting and welding markets. Given the continued structural weakness in these industrial markets, during the fourth quarter, we made the decision to exit cutting and welding. This decision, while challenging, is a continuation of our resource alignment efforts as we focus on accelerating growth in our A&D markets. With industrial, we will continue to focus on opportunities in advanced manufacturing, specifically metal 3D printing, where we have been encouraged by the early growth and adoption of our products among customers that are aligned with our A&D focus and where our technology is most differentiated. As I look forward to 2026, I am confident that our growth will continue and that we are well positioned for new contract wins in our key markets of directed energy, laser sensing and advanced manufacturing. Let me now turn the call over to Joe to discuss our financial results in more detail.
Joseph Corso: Thank you, Scott. 2025 was a year of exceptional financial and operational execution for nLIGHT. We delivered revenue growth of more than 30% year-over-year, driven by a 60% increase in revenue from A&D. Strong revenue growth, a favorable mix of business and excellent execution from our manufacturing and operations team drove meaningful expansion to our gross margins, which increased to approximately 30% in 2025, up from 17% in 2024. At the same time, we managed to reduce our non-GAAP operating expenses, which enabled our incremental gross margins to flow through to adjusted EBITDA, which was a record $23.5 million for 2025. Significantly improved adjusted EBITDA, coupled with working capital discipline resulted in cash flow from operations of more than $21 million for the full year. Our full year results demonstrate the leverage that is inherent in our business model. Let me now review our fourth quarter results. Total revenue in the fourth quarter was a record $81.2 million, an increase of 71% compared to $47.4 million in the fourth quarter of 2024 and up 22% compared to the third quarter of 2025. Aerospace and defense revenue was a record $56.3 million in the quarter, up 87% year-over-year and 24% sequentially. A&D growth was driven by product revenue of $30.2 million, which grew 109% year-over-year and 14% compared to last quarter. Development revenue of $26.1 million represents an increase of 66% year-over-year as we continue to execute on multiple directed energy programs. The quarter-over-quarter increase in development revenue of 36% was primarily the result of the successful delivery of our 50-kilowatt CBC laser to our partner and support the DE M-SHORAD program. We expect development revenue to decline sequentially in the first quarter of 2026 given the successful delivery of our 50-kilowatt laser weapons module. Fourth quarter revenue from our commercial markets, which includes our industrial and microfabrication markets, was $24.9 million, an increase of 44% year-over-year and 17% compared to last quarter. Revenue from our microfabrication markets was $14.2 million, and revenue from our industrial markets was $10.7 million as an increase in demand for our additive manufacturing products offset continued declines in cutting and welding. As Scott mentioned, during the fourth quarter, we made the decision to exit the cutting and welding markets. We have informed our key customers of this decision, and we are working through last time buys and other wind-down actions. We expect modest revenue contribution from cutting and welding to continue in the first half of 2026, but we expect a full year revenue headwind of approximately $25 million to $30 million associated with this decision. Further, we expect to continue to support our existing customers and are transitioning internal resources that have been focused on cutting and welding to support our A&D and advanced manufacturing effort. Working our way down the P&L, total gross margin in the fourth quarter was 30.7% compared to 2.4% in the fourth quarter of 2024 and 31.1% last quarter. Product gross margin in the fourth quarter was in line with our expectations at 37.3% compared to 0.7% in the fourth quarter of 2024 and 41% last quarter. The sequential quarterly decline in products gross margin was driven primarily by slightly less favorable mix, lower factory utilization and higher inventory charges related to the exit of the cutting and welding markets. Development gross margin was ahead of expectations at 16.8% compared to 5.8% in the same quarter a year ago and 6.4% last quarter. The sequential increase in development gross margin was largely the result of the successful delivery of the DE M-SHORAD high energy laser and continued execution in other ongoing programs. GAAP operating expenses were $30.4 million in the fourth quarter compared to $27.6 million in the fourth quarter of 2024 and $28.1 million in the third quarter of 2025. Included in our fourth quarter GAAP operating expenses were higher stock-based compensation expenses associated with the previously announced performance shares and a restructuring charge of approximately $615,000 associated with our decision to exit cutting and welding. Non-GAAP operating expenses were $18.4 million in the quarter, up from $17.7 million in the fourth quarter of 2024 and up from $17.5 million last quarter. We expect quarterly non-GAAP OpEx to remain in the $17 million to $19 million range throughout 2026. GAAP net loss for the fourth quarter was $4.9 million or $0.10 per share compared to a net loss of $25 million or $0.51 per share in the same quarter a year ago and a loss of $6.9 million or $0.14 per share in the third quarter of 2025. On a non-GAAP basis, net income from the fourth quarter was a positive $7.8 million or $0.14 per diluted share compared to a non-GAAP net loss of $14.5 million or $0.30 per share in the fourth quarter of 2024 and non-GAAP net income of $4.3 million or $0.08 per diluted share last quarter. Adjusted EBITDA for the fourth quarter was a positive $10.7 million compared to a loss of $11.3 million in the same quarter last year and a positive $7.1 million in the third quarter of 2025. We ended 2025 with total cash, cash equivalents, restricted cash and investments of $134 million, up from $101 million at the end of 2024 and $116 million last quarter. We generated $17.4 million in cash from operations in the fourth quarter of 2025 despite continuing to invest in working capital ahead of expected growth, and we were free cash flow positive in the quarter. With the recently completed follow-on equity offering, our balance sheet boasts more than $0.25 billion of cash, enabling us to accelerate our investments in our own manufacturing capabilities and capacity while working with our supply chain partners to provide them with increased long-term visibility to support our growing demand pipeline. Before discussing Q1 guidance, I'd like to reiterate that nLIGHT is planning for total revenue growth in 2026. Supporting our growth expectations is approximately $162 million of funded backlog as of December 31, 2025, essentially flat compared to funded backlog of $167 million at the end of 2024. Although execution challenges remained given the highly technical nature of our defense work and we can't control the specific timing of government programs, we are exceptionally well aligned with many of the DOW's highest priority areas. Based on the information available today, we expect revenue for the first quarter of 2026 to be in the range of $70 million to $76 million. The midpoint of $73 million includes approximately $54 million of product revenue and $19 million of development revenue. Overall gross margin in the first quarter is expected to be in the range of 27% to 32%, with product gross margins in the range of 34% to 39% and development gross margin of approximately 8%. As we've mentioned previously, as a vertically integrated manufacturing business, gross margin is largely dependent on production volumes and absorption of fixed manufacturing costs. Finally, we expect adjusted EBITDA for the first quarter of 2026 to be in the range of $5 million to $10 million. Let me now turn the call over to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jonathan Siegmann with Stifel.
Jonathan Siegmann: Congratulations on the strong end of the year. And you mentioned expecting orders in the next few months just on the directed energy side. Can you give a sense of whether this would be more development for new programs, continuing of your existing development programs? Or how soon are we to actual some production orders?
Scott Keeney: John, it's actually all of the above. There are certainly examples of continuation. There's examples of new programs that certainly build on things we've done. And there are orders for the low rate production program. So really all 3.
Jonathan Siegmann: Fantastic. And then maybe on the sensing side, you highlighted both opportunities on new programs as well as existing missile programs and the demand signals are really, really exceptional across both. Can you just -- which is greater for the company in terms of near-term prospects for you guys?
Scott Keeney: Yes. We see both. Maybe, Joe, you want to take the near term, specifically?
Joseph Corso: Yes. Near term, the existing laser sensing programs that we're working on are in full rate production, John. So those will tend to drive more revenue in the near term. As we think about the new programs that we're working on, as they move into LRIP, they will start to contribute more and then over the next year or 2 will be a much larger proportion of our overall sensing business. But to Scott's point, both are actually growing quite nicely right now.
Operator: Your next question comes from Greg Palm with Craig-Hallum.
Greg Palm: Congrats on another really successful year here. I wanted to start with the decision to exit cutting and welding. I guess, why now? You sort of position that business as maybe melting ice cube, but revenue with a positive contribution margin. So why exit now? And as we think about sort of the longer-term P&L impacts from a margin standpoint, what should we be expecting?
Scott Keeney: Yes. Thanks, Greg. It's a good question. And yes, we've been talking about the challenges in the broader industrial market due to the excess capacity evolution, et cetera, those themes. I think the short answer to your question is focus. I'll let Joe comment on the particulars of the near-term financials, but the opportunities that we're addressing in directed energy, in sensing and in the advanced manufacturing, notably additive manufacturing, are very large. And we have an outstanding team that we've built over the years, and we are transitioning people to focus on those core growth opportunities as opposed to some legacy opportunities that have -- that are far less attractive. So the short answer is focus. Now in terms of the near-term financials, I'll let Joe comment a little further on that.
Joseph Corso: Yes. Thanks, Greg. Reality is that we are going to transition most of overhead that was allocated or being used by the cutting and welding business to the defense business. We have lots of talented engineers and other professionals inside of the company that are being repurposed from cutting and welding into defense. So in the near term, might there be a little bit of margin headwind as we're going to lose some revenue with positive incremental margin. Yes, but really not all that much. So we don't expect it to have a material impact on the way that we're thinking about margin and cash flow going forward.
Greg Palm: Okay. Understood. And in terms of the revenue headwind, can you just maybe unpack that a little bit more? I think you said a $25 million to $30 million headwind. So I just want to be clear, that's on an absolute basis year-over-year specific to industrial? And do you see that starting this quarter to be impacted in a pretty sizable way? Or does that start more like in Q2 and then it basically is full run rate headwind in the second half?
Joseph Corso: Yes. Thanks, Greg. It's not totally digital. But if you think about the industrial end market in full year 2025, a good way to think about the modeling is just take $25 million off of that as a starting point for where we would be in industrial as we're moving into 2026. There will certainly be some contribution over -- the revenue contribution over the first 2 quarters and potentially a little bit into the third. But by the time we're in the second half of the year, those revenue streams are effectively at 0. And then the other side of it, what we are still focused on is the advanced manufacturing and metal 3D printing side of the business. And so there's opportunities for us to continue to grow there. And so as we said in the prepared remarks that we think that even with that headwind, our overall revenue as we think about full year 2025 and then 2026 can grow, right? We're still confident in the ability to grow the total revenue.
Greg Palm: Okay. And I think by that math, it still implies that you can have double-digit plus growth in the aerospace and defense segment, if you're still expecting to grow overall, maybe you can confirm that. But a bigger question is, is that based on your current backlog? And does some of these new contracts and awards, Scott, that you alluded to, do you need to win some or any of those and have those contribute to revenue to get to that growth number?
Joseph Corso: Greg, so the short answer is, I think to the first part of your question is yes. The A&D business certainly can grow double digits in 2026. I think the second part of your question was, is that all in backlog today? The answer to that question is yes as well. And then I think when you talk about overall growth in 2026, certainly, we do need to convert some of what we are working on, some of what Scott talked about earlier, we need to convert that into funded backlog and drive revenue from that as well.
John Marchetti: Yes, Greg, this is John. I just -- one of the things that we've been talking about for the last couple of quarters, too, is we are -- and Scott mentioned this in his prepared remarks, we are expecting some fairly meaningful new awards in 2026. That's not really reflected in what we're talking about here in terms of being able to grow in 2026. If those new prototypes that we're expecting come through in the first half of the year, then those will contribute above and beyond kind of what we're talking about right now. If those come in a little bit later in the year, then it sets us up, obviously, for a very good '27. So a lot of the timing around those contracts is ultimately going to determine how much we grow this year. But at the end of the day, we are expecting that 2026 is a growth year.
Operator: Your next question comes from Jim Ricchiuti with Needham & Company.
James Ricchiuti: I just wanted to follow up on the last line of questioning. You guys had a reasonably decent year in microfabrication. I'm assuming you probably guess that, that portion of the business would be flat to down because if that's the case, [Technical Difficulty], for a reasonably good growth in the A&D business.
Joseph Corso: Jim, I'm sorry, you broke up on our end. Can you repeat the question again?
James Ricchiuti: Sure. Joe, I'm sorry. So I wanted to go back to that comment about the growth for 2026. And we can back out the welding and cutting exit, but it also seems to imply. And I want to get some clarification on how you're thinking about the microfabrication business because you had a reasonably decent year there. And I would -- it sounds like just given the tone that could be flat to down, in which case, the aerospace and defense business sounds like it's going to be reasonably strong growth as opposed to just double digit. And I'm just trying to get a little color. Last year at this time, I think you guys said you thought you'd grow the A&D business 25%. You obviously grew at a lot faster than that, and there were some real drivers that resulted in that. But as we're looking at '26 now and the fact that you're going to -- you anticipate having a growth here, it does seem to suggest that the growth could be along those lines that you indicated last year at this time in A&D. Is that -- am I interpreting it correctly?
Joseph Corso: Jim, I think your interpretation is spot on. Let me touch on microfabrication first. Microfabrication is the market in which we have the least amount of visibility. But also if you just go back over the recent past, that business tends to be somewhere between $8 million and $12 million a quarter. And so depending on what the order patterns look like, I think we're seeing the same thing as we're heading into 2026. The biggest delta between where we are today in microfab and where we have been in the past is that the contribution from the China geography has gone down precipitously. And so that is really no longer in a meaningful part of the overall revenue. And so then if you think about whether you believe microfab is flat or microfab is down a little bit, then that will have an implication on how fast the A&D business can grow to keep that overall fiscal '26 revenue positive. What I would tell you the difference between where we are today versus where we were in 2025 is that in 2025, it really was a year of execution, right? We had very little go-get in 2025 to hit that 25% number. And then we outperformed from an execution perspective, and then it enabled us to grow faster than the 25%. As we're here in 2026, looking into 2026, there is still a fair bit of execution, but there is a little bit more go-get. So I wouldn't want to suggest that you should think about us growing even faster as we move through the year. As John just said, there are certainly opportunities depending on timing where we could grow faster. But again, the error bars are fairly wide on that.
James Ricchiuti: That's helpful. I wanted a follow-up question just as it relates to the capacity addition in Longmont, the doubling of manufacturing capacity. Is there a way to translate that to revenue potential? And what's the timing on it? And is that decision geared towards an intermediate-term opportunity? Or is it more a reflection of what you see a few years out in terms of making the decision to expand that facility?
Joseph Corso: Yes. That is a decision that is really driven by our anticipation that this is a market that is going to be quite strong over the next couple of years. As you know, Jim, there are no production lines to build multiple copies of being combined lasers simultaneously. And so we want to be in a position that we can do that. And so in order to do that, we wanted to be out in front, and we wanted to be able to put that capacity in place in order to do that. That was one of the reasons that we went out and we raised equity earlier this month. And so it's a little bit difficult to give you a specific number to say that capacity directly translates into x dollars of revenue, but it certainly positions us very well to be able to deliver multiple copies of being combined lasers.
James Ricchiuti: And the timing?
Joseph Corso: Yes. We're starting that work right now. We've signed the lease. We're starting to build clean rooms. We're starting to facilitize it, we're starting to staff it. So we're trying to be out ahead of when that demand actually materializes.
Scott Keeney: And Jim, just to add a little color there. With the approach that the DOW is pursuing, we have good insights into the key priorities. Those are explicit, right? There's the 6 key priorities, and we're absolutely focused on 3 of those. And then underneath that, there's more detail around specific requirements. That's what we're investing in. And key people from DOW have visited the new site, and we're actively building it out right now. And let's just say it's very well received.
Operator: [Operator Instructions] Your next question comes from Keith Housum with Northcoast Research.
Keith Housum: Congratulations again on the quarter. I'll echo everybody's thoughts here. Joe, in terms of the cash raise you guys did during the quarter, this might be the first public conference call that we might be able to hear. I guess, what are your thoughts in terms of how you plan on using that? I'm sure some of that will go to your facility build in Colorado, but any other thought or priorities with the extra cash that you guys have now? And it certainly looks like, hopefully, you guys are on a path here to free cash flow generation to continue going forward as well.
Joseph Corso: Yes, Keith, thanks for the question. I think the first piece is we raise the capital because we want to be in a position to accelerate growth. And having this capital will give us the flexibility to pursue multiple opportunities simultaneously. I think as you kind of unpack that, there's really a couple of more specific use cases. One is as we just talked about on the last question, we want to invest ahead of demand, right? We have a really good pipeline of opportunities in both directed energy and in laser sensing that are growing, and we don't want to sit back and wait for firm contracts to be in hand before we really start to build. We talked about the additional CapEx that we will need to use to build out our facility in Colorado and be in a position to deliver -- develop and deliver multiple copies of high-energy lasers and laser weapon modules. And another piece of it is supply chain is really critical. And so we need to invest alongside with our supply chain partners, whether that's providing them better visibility into our long-term demand applications or help shorten times for critical inputs that we can reduce the tack time that it takes to deliver these lasers. We want to invest in people. We want to invest in new product development. And then last but not least, is we want the flexibility to be at least opportunistic from an M&A perspective. While there's nothing imminent today, we've been successful with M&A in the past, and we want to be able to use capital for M&A if it makes strategic sense for us.
Keith Housum: Great. Appreciate it. And Scott, it's been obviously a banner year for you guys, but I'm sure as CEO, you're never going to rest on your laurels. What's keeping you up at night? Or what concerns you as you look out into 2026 and 2027? Consider may be a strong word, but I guess what could go wrong? What worries you?
Scott Keeney: Well, internally, my team calls me EOR frequently. So I have no trouble worrying about things. And I think it's an important point. I think, actually, when things are going well, you have to be that more vigilant. And I think arrogance is what kills companies. So yes, we are working harder than we have ever worked to stay on top of execution, to stay on top of what's going on in this market. And as I alluded to in my comments, to Jim, that means you need to be very close to what is going on in the Department of War and all the services and around the world and really making sure that you're responsive to the specific requirements there. So I think it's those topics that require intense focus, I guess. And yes, there's -- you should be worried about all that stuff and you should sweat details there. So yes, that is -- those are some of the topics. I've never been more encouraged with the position that we have with the opportunities and the technology where it is today. But lasers are hard, right? And implementing these new applications takes a lot of work and the devil is always in the details. So working hard and concerned about a lot of topics there to make sure that we execute.
Operator: Your next question comes from Troy Jensen with Cantor Fitzgerald.
Troy Jensen: Congrats, gentlemen. Maybe a couple of easier questions for Joe here. Have you quantified the CapEx that's needed for this capacity expansion?
Joseph Corso: No, we haven't quantified it specifically, Troy, but it will be expected to be higher than where we were in fiscal 2025, but we're not talking about needing 2 or 3x the amount that we had in 2025, at least in 2026. Beyond that, if we're spending capital, it's largely because we've had lots of success around the opportunities that we have in both directed energy and laser sensing.
Troy Jensen: Understood. Okay. And Joe, did you say earlier in the call that you expect OpEx to be between $17 million and $19 million every quarter this year?
Joseph Corso: Yes, we were just trying to give you a sense for what our non-GAAP OpEx would look like as we move through 2026. So that $17 million to $19 million is a good range from a quarterly perspective. It goes up and down a little bit depending on project spends and things like that. But generally, that's a good range to use.
Troy Jensen: Okay. And then just the last one, when do you think share count is going to be here for Q1 with the new cap raise?
Joseph Corso: Yes, Q1 share count probably be in the 55-ish million range from a diluted -- for purposes of diluted EPS is probably a decent number to use.
Operator: There are no further questions at this time. I will now turn the call back to John Marchetti for closing remarks.
John Marchetti: Thank you, everyone, for joining us this afternoon and for your continued interest in nLIGHT. We will be participating in several investor conferences over the next few weeks, and we look forward to speaking with you during those events and throughout the quarter. Have a great afternoon.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.